Operator: Good morning, everyone, and thank you for waiting. Welcome to GOL Linhas Aéreas Inteligentes First Quarter of 2013 Results Conference Call. With us here today, we have Paulo Sérgio Kakinoff, CEO; and Edmar Lopes, CFO. This event is being recorded, [Operator Instructions] This event is also being broadcast live via webcast and may be accessed through GOL Linhas Aéreas Inteligentes' website at www.voegol.com.br/ir where the presentation is also available. Participants may view the slides in any order they wish. The replay would be available shortly after the event is concluded. Those following the presentation via the webcast may post their questions on our website. They will be answered by the IR team after conference is finished. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of GOL Linhas Aéreas Inteligentes management and on information currently available to the company. They involve risks and uncertainties because they relate to future events and therefore depend on circumstances that may or may not occur. Investors and analysts should understand that conditions related to the macroeconomic condition, industry and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the conference over to Mr. Paulo Kakinoff. Mr. Kakinoff, you may begin your presentation.
Paulo Sérgio Kakinoff: Hello, everyone. Thank you for joining us in our earnings conference call for the first quarter 2013. I would like you to start with the presentation, which is Slide #4, where we show that the EBIT margin at first quarter of 2013 reached 4.9%, an improvement of 4.6 percentage points and BRL 94 million in relation to the previous record in the same quarter last year. The increase of the EBIT performance despite a scenario of pressure on operating costs of [indiscernible] in the same quarter last year. Increase of EBIT performance, despite a scenario of pressure on operating expenses represented by the 12% depreciation of the real against the dollar, the 14% increase in fuel prices and the upturn of more than 10% in airport fees year-over-year. This performance is a result of the company's efforts to reduce supply and adjust its cost structure to the new reality. It also represents the first period after the extraordinary event that occurred in 2012. On Slide #5, we show the key measures that contributed to these positive results, our best in the last 2 years. In the first quarter of 2013, GOL reduced its supply in the domestic market by 15.7%, which led to a growth of 12.4% in passenger revenue per available seat-kilometer or PRASK in relation to the first quarter of 2012, in line with the company's current strategy. Costs excluding fuel expenses were stable year-over-year despite the depreciation in the exchange rate, higher airport fees and lower valuation in costs. CASK ex-fuel stood at BRL 8.71, the lowest level in recent quarters. In the second quarter, the IPO of SMILES was approved. The IPO was priced at BRL 1.1 billion and this transaction represents another important step towards the strengthening of the company's strategy in the coming years. In May, GOL also concluded the sale of Miles in advance of the company's beginning SMILES to several financial institutions. All these initiatives were working in addition of approximately BRL 1.5 billion to the company's cash position, reinforcing GOL's commitment to maintaining its strong liquidity. Focus on the operational efficiency, GOL was the most punctual airline in the Brazilian market in first quarter 2013, achieving a punctuality ratio of around 95% in its lead network. Since 2012, GOL has been the industry's leader in terms of punctuality, and lead performance was repeated last April. In first quarter of this year, the company designed and developed an important initiative focused on expanding the scope of its services to clients. The new route network, creation of new partnerships and expansion of the code-share agreement with Delta, as a result from these initiatives. Slide #7 shows the continuation of reduced supply rationalization plan in the Brazilian market. In first quarter 2013, the industry posted a decline of 8% in supply year-over-year, while demand fell by only 1%. This moment of rationalization of supply is new in the history of the Brazilian civil aviation industry. In this context, GOL remains dynamic in adapting demand supply according to the market conditions, maintaining its leadership in the rationalization of the demand supply. As you can see through the first quarter table on Slide #8, which shows that for the quarter, the company had an aggressive approach to supply reduction, cutting it by 15.7%. Slide #10 shows the dynamics of GOL domestic group network in the first quarter of this year, in which the company posted a growth of 13.5% in yield while load factor remained stable between the periods. This performance in the market with high price elasticity reflected the implementation of the supply rationalization strategy. On Slide #11, you can see the results of the combination of the factors described in the previous slide, an upturn of approximately 12.4% in passenger revenue per available seat-kilometer, PRASK, in the first quarter of 2013, which represents growth in PRASK completed 1 year in March, and its execution will continue for sure. Moving on to Slide #12, as we already mentioned, in the first quarter, GOL was once again the most punctual airline in the Brazilian market. The use of remote check-in increased by 10 percentage points in comparison with December 2012. And the passengers' satisfaction ratio, which measures passenger's perception regarding services provided by GOL, on a scale from 1 to 10 in more than 38 drop airports, posted an increase of 10% in relation to December 2012, showing us how fast we are improving our products and service towards good customer satisfaction. Slide #13 shows the decline of around 20% in the company's workforce, which helped CASK x fuel to remain flat in relation to the first quarter of 2012. The significant reduction reflects the company's effort to adapt these cost structures to the new market reality. We have done that since April last year. On Slide #14, we can observe that despite higher fuel prices, which reached its all-time rise in the quarter, the company is reducing fuel consumption per ASK, especially due to the standardization of [indiscernible] and the adoption of several measures to increase fuel efficiency. Moving on to Slide 15, we present the guidelines for implementation of the new route network in the first quarter of 2013. In the similar routes, there'll be more convenient times for the clients, gain growing connectivity with partners and have a special process on the corporate markets are the main differentials of this new route network. These initiatives aim to expand the scope of services provided by GOL, bringing even more benefits and effectiveness to passengers. On the next slide, #16, we highlight a few announcement about the addition of implementation of the new code-share models, which will increase the connectivity between the companies and passengers in the Brazil and United States corridor. By the end of August, all destinations offered by Delta in Brazil will be connected with GOL's group network and available for a purchase at the company's sales channel, including the website. The Brazilian-Atlanta flight is already available for sale, and the first flight is scheduled for May 20. This initiative shows the high level of partnership between GOL and Delta. Now moving to Slide 18, we would like to point out the pricing of the IPO of SMILES at approximately BRL 1.1 billion. All proceeds will be used for the advance purchase of airline tickets from VRG goes to the subsidiary responsible for air transport, the airline itself. The result of the deliberation confirms the financial market's confidence in the potential for GOL of the Brazilian royal petroleum industry in the coming years and reinforces GOL's commitment to maintaining its strong liquidity. I will now hand over to Edmar, who will present our results for the period. Please, Edmar?
Edmar Prado Lopes: Okay. Thank you, Kakinoff. Good morning, everyone. On Slide #20 -- and before I move on, I would like to highlight the main drivers that brought us here. And as Kakinoff said, it is a process that we started a few months ago back in early 2012 and that, indeed, are showing the first results. First of all, on the revenue side, I would like to highlight that our strategy of reducing capacity is indeed in place and it's showing results. We have cut capacity by almost 16% in the first quarter, which led us to an increase -- keeping load factors stable to an increasing yield of roughly 13.5%. On the cost side, we saw the same tough macroenvironment that we saw in the previous quarters, that is, the FX close to BRL 2 per dollar moving up 12% on a year-over-year basis, as well as the price for fuel, reaching its all-time high. We -- sorry, at the first quarter, the company paid BRL 2.42 per liter of jet fuel, that is indeed the highest price ever. Also on the cost side, I would like to highlight that we have resized the company for this new environment. That is we cut fixed cost, we cut variable costs, and what we did on the labor side shows the commitment of the company to readapt itself to again this new environment. On the cost side also, we saved some help from the sale leaseback of the aircraft that came into the first quarter. It represented BRL 30 million in terms of gain. Moving on to the next slide, that is Slide 21. On the chart, we can see again that we are moving indeed in terms of the spread between RASK and CASK. Our RASK moved up by roughly double-digit numbers, while the CASK was kept at the same level of 2012, in spite of the pressure on the fuel and in spite on the pressure on the FX and in spite of the pressure of the much lower dilution effect because of the fact that we are taking off capacity. Moving on to the next one, this is Slide #22, please. I would like to highlight that first, on the revenue side, as a result of everything that we have done in the recent past, we saw that the numbers, the final numbers are almost 4% down. And at the same time, we cut CapEx by 16%, that is a 4x difference. It shows that we are changing quantity for quality and shows that our revenue are indeed in a much better shape than it was a year ago. The EBIT for the quarter was just above BRL 100 million, a margin of 4.9%. Again, EBITDAR, BRL 367 million, and this is very important because it's a move, an upturn of nearly 40% year-over-year, and this number alone is more than the whole EBITDAR for 2012. The number for 2012 was BRL 258 million, and it shows again that our strategies will make results -- will show its soundness over the leverage drivers that the company has. As for the financial results, I would like to highlight that first, in the first quarter, we paid the waiver for the debentures as a whole. Last year, it was split between 2 quarters. This quarter -- this year, we incurred in this expense at the first quarter. At the same time, we saw that we had some losses on the hedging side because of the downturn of the effective depreciation of the real earlier in the quarter. Moving on to the income tax line, we had an impact for main -- for 2 main reasons here. The first one is a temporary difference related to the FX on the leasing expenses. And the second one is related to the Miles legacy that -- with this Miles being a new company stayed at VRG and we are now recognizing this expenses over deferred tax. This is explained in our financial statements, this is Note #9, and also on the press release, if I'm not mistaken, Page 18. But more important than anything else is the fact that we are deleveraging the company. This is the closest again, I repeat that. It will start from the first quarter, it has already come down by 25%. And down the road, at the end of the year, assuming just for a moment that we will meet the guidance, we will go back to the levels that were in 2010, that is roughly 6x net debt -- total debt including [indiscernible] over EBITDA. Moving on to the next page, we have 4 charts here, and they show what is happening with the company. On the revenue side, this is the top left side, we saw an increase, increase in terms of RASK. On the top right-hand side, we see our CASK, as discussed before, our CASK coming down. Not only the ex-fuel, which gave PRASK year-over-year, but also in terms of the ASK, it is very important information that the measures that the company are taking over fuel efficiency are showing the results. On the bottom of the page, we see both EBIT and EBITDAR improving significantly, not only quarter-over-quarter but also year-over-year, and I'd like to highlight again, the EBITDAR showing a progress of roughly 40%. Moving on to the next page, this is Page 24. This is again a very traditional slide that we use, and I would like to highlight here 2 issues. The first one is that the company has kept its focus on the cost side. We are cutting capacity, fixed cost that we are committed to do that, and that's why we're showing the lowest level in the last few years. Not only showing that we have the costs under management, but also that we have gained -- we have become even more competitive than before. Moving on to the next page, this is Page 25, we show you our cash position. We ended the quarter with BRL 1.6 billion. Remember that in the middle of the quarter, right before Carnival, we issued USD 200 million bond, that is roughly BRL 400 million. We have already prepaid roughly again BRL 140 million of that. And with that, BRL 1.6 billion, we were at the BRL 1.5 billion generated by the events related to SMILES. That is the IPO, the re-issue over the IPO, as well as the sale of Miles that we announced late April. This is very important because it takes further liquidity x cash to roughly 40% of last 12 months revenue. This has been a driver with that very little -- a very little number of companies in the airline space [indiscernible] and it's this BRL 3.3 billion. Moving on now to the next page, this is Page 26, please, it's roughly the same amount of money that we have in total financial debt. And with the amortization profile that we have, and that is no pressure for 2013 and for 2013, it is still lots of room to work which that we will pay and what kind of liability management we would do in the next few months. Now moving on to Page 27, this is our guidance. We have announced just 45 days ago, and we -- it was in our account that we would have a good first quarter. It came even better than we expected, to be very candid, but we are not changing the guidance so far. And we are not changing that because we still see the Brazilian GDP on the risk side. Just in the last few weeks, we have seen very weak, a very soft demand, if you will, and we are a little bit skeptical about reaching the 2.5% that we have announced. This is not only us. This is the whole here in Brazil, but we have to wait a little bit. On the good news side, the fuel curve has moved on our favor, but again, at this moment of time, we will not change our guidance. Now I pass the floor back to Kakinoff so he will make the final remarks before we go to Q&A.
Paulo Sérgio Kakinoff: Thank you, Edmar. The first quarter of 2013 marks the beginning of the company's operating margin and the [indiscernible] of our financial indicators. The performance in the quarter reinforces the belief in the company's [indiscernible], the focus and commitment. We continue to search for better results. Thank you all for taking part, and we will now begin the question-and-answer session. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Savi Syth, Raymond James.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Just on your cost performance, it's quite impressive. And I know a little bit of that is due to the sale leaseback. But I was wondering if there was anything else that helped the cost performance this quarter because it looks like without the sale leaseback gain, maybe costs would have been -- ex-fuel costs would have been up 4% year-over-year. I'm just wondering if anything else helped there, if the cost may be kind of trending in much lower than expected.
Edmar Prado Lopes: Savi, this is Edmar here. We explained that on our press release. We had also some accounting issue on our side. In fact, as mentioned, related to labor that we are granted for 2013, had some effect as well on the cost side because rather than being below on the cost, we moved it up as revenue cap, okay? So it helps a little bit. It's roughly BRL 20 million, okay? But the main issue here is the reduction of labor, okay? And despite of the accounting issue and the sale leaseback, we have cut our labor by more than 20%, okay? As it is sort of taking north on the total cash side, we have also the Wheel [ph] construction for ASK as well as to a major driver to reduce our CapEx.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Makes sense. And actually so for me, as we look into the next quarter and beyond, so the only thing on the cost side that we saw that won't be repeating in the next quarter is just the BRL 30 million in sale leaseback?
Edmar Prado Lopes: There will be some of that because as we have announced, we have 16 planes coming for the full year, okay? So we'll see some of that. We'll not be just here [ph] against that on a quarter basis but we will see some help as well, okay?
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Got it, all right. And so is the variance in the CASK ex-fuel guidance then just your expectation on currency? Or is there anything else driving the variance in guidance?
Edmar Prado Lopes: Sorry, can you repeat the question, Savi, please?
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Sure. The guidance you provided for CASK ex-fuel for 2013, is the variable in the range there -- is that just what the exchange rate comes out to be? Or is there anything else that's driving the range?
Edmar Prado Lopes: Okay. Savi, we are running a funny situation, to say the least, here in Brazil, because we have a very little economic growth, as well as inflation going to higher levels. So if you ask me now, I think that we still have some pressure on the inflation side, that's why we're not changing anything related to the quarters for the guidance at this moment, okay?
Operator: Our next question comes from Mr. Michael Linenberg, Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Kakinoff and Edmar, a couple questions here. I'm just looking at your CapEx plan over the next few years. The numbers are -- the aircraft commitment numbers are pretty high and yet, when I look at your fleet plan, it looks pretty flat. So is this just a function of new airplanes coming in, old airplanes going out? It looks like it's a one-for-one swap over the next few years.
Edmar Prado Lopes: Michael, this is Edmar here. Please remember that we put out the numbers at -- not at list price, not the price that we get at Boeing, okay? So we don't show the real number. You have roughly no idea, it's a huge discount. But please be aware of that, this is the first issue. The second one is related to the cap that we have at the PDP, at the pre-delivered payments with Boeing. This is nowadays at a roughly USD 200 million. It's going down to USD 180 million. So it helps us in having some relief on the cash side, okay? So we could do limit our cash disbursement in the next few years.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, good. And then my second question, the BRL 1.5 billion of proceeds tied to the SMILES IPO, so the IPO plus the deal that you did with the forward sale of points -- or I should say miles, does that -- has any of that shown up in the March quarter or all that starts to hit your financial statements in the June quarter?
Edmar Prado Lopes: It's just June quarter, okay?
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, very good, very good. And then just the last question. When I look at your load factors domestically, they were -- they seem to be down a lot more versus the industry. It looked like even though you cut capacity as much as you did, it seemed like the industry outperformed there. Is that more a function of focusing on yield and really trying to keep fares high or push fares up, and so therefore you weren't able to have load factors move up but remain sort of somewhat flattish relative to the industry?
Paulo Sérgio Kakinoff: Michael, Paulo Kakinoff here. Exactly that we have established in September last year and we established procuring 2-digit PRASK increase instead of boosting load factor as opposed to like we wouldn't like to start or restart price war in the Brazilian market. And we believe that this new discipline in the offer side is allowing us to increase PRASK while keeping the load factor stable. This is, I'd say, not the ideal scenario. The ideal would be to increase both significantly. But this scenario is much ahead in other preference ranking than having load factor instead of PRASK increase. So this output is 100% related to our flattish [ph] the Brazilian market.
Operator: Our next question comes from Mr. Duane Pfennigwerth from Evercore Partners.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just on the -- just as a follow-up to Savi's question on the salaries, wages and benefits line, can you just clarify the tax benefit in the quarter? I'm just looking that line is down 30%; your headcount's down about 20%, and inflation, I believe, is running sort of 6%, 7%. So how do we -- was the tax sort of a full year impact that you realized in the first quarter? How should we be thinking about that line going forward?
Edmar Prado Lopes: Duane, roughly BRL 0.20 is the amount related to the fact that we are accounting the labor tax on a different line than before, which is how you can approach the, let's say, one-off or what should be recurring from now on that was not accounted before, okay? But I know this isn't an impressive number, but the main driver here is the fact that we have indeed cut our labor by more than 20%. 20,500 people roughly are now, at this moment, less than 16,000 at the company. So the main driver here is, as I mentioned, the resizing of the company. Our task here is to keep it for the next quarter because for sure, everyone is under pressure here, okay? So again, going back to the numbers, this is roughly BRL 20 million, almost BRL 0.20 of CASK, again of CASK that was, let's say, moving from one line to the other from now on.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: So what was the magnitude of the regulatory or tax change credit in the first quarter, and do you expect that to persist?
Edmar Prado Lopes: Well, this is -- as I mentioned, BRL 20 million, it's moving from the cost line over to the revenue line, as a -- but just a geography, okay?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: And is that -- do you expect that every quarter? Is that an annual impact or is it just...
Edmar Prado Lopes: No, it will be recurring from now on. If you think that we are now running at a different level for labor, it will be -- let's say, it will run on a stable basis and or close to that from now on.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: So the BRL 20 million change you expect to recur each quarter?
Edmar Prado Lopes: Yes, yes.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then just -- and Edmar, could you articulate a little bit, you mentioned a goal of deleveraging the company? I wonder if you could just sort of flesh out your plans in that respect? And are you including sort of bringing the operating leases on balance sheet?
Edmar Prado Lopes: Duane, first of all, we are sitting in a very sizable position of cash nowadays because the proceeds from the SMILES transaction are already at the company. So now, we're sitting at close to BRL 3 billion here. This is roughly the same amount of money of the total financial debt that is depending on the FX, BRL 3.1 billion, BRL 3.3 billion. It shows the amount of cash that we carry now. It represents roughly 40% of the last 12 months revenue. But we will keep the same strategy that we have been announcing in the last few years, and that we announced recently when we issued the bonds. That is we will prepay what is reasonable and what is due in the short term, while carrying still a very strong position. So we have prepaid already BRL 140 million in the first quarter. There is between BRL 100 million and BRL 150 million to be prepaid or paid in the next, let's say, 6 to 9 months. And on the large ticket, we have the debenture coming due only in 2015, but we have just recently paid the waiver until the end of the year for this 2 debentures. So we will not do any liability measures over that in the short term. But the main driver for deleveraging, again, is the fact that our EBITDAR will move up very fast from now on. Assuming that we reach the midpoint of the guidance as for EBIT, there is 2% of EBIT margin, our EBITDAR will go up from the BRL 258 million that we put out last year to BRL 1.2 billion in 2013. Together with the amount of cash that we were able to raise, it will take our leverage ratio for a total debt, net total debt over EBITDAR at the end of the year to a number close to what we have back in 2010, that is 6x which is completely different picture from what we have just 3 months ago when we were almost at 40x. So now the question I have in mind, a quarter after the other changing the bad results that we had in the 2012 for much better results in 2013? And again, our lang [ph] or our focus over the guidance is very high, okay?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: I appreciate that detail. I guess just a question. Clearly, you believe your profitability is going to improve, which will reduce your leverage ratios. But I guess, if you just look at the magnitude, holding currency constant, if you just look at the magnitude of your net adjusted debt, it doesn't feel like that's going to decline given the CapEx profile and given the deliveries that you're taking. So I guess just my last question, wouldn't net adjusted debt reduction be easier if you deferred aircraft or stopped delivering new aircraft?
Edmar Prado Lopes: Duane, again, I have touched the question of our CapEx with Michael before. We think that we have adjusted the fleet plans for what is needed in the next few years. And again, we have a pact with Boeing, so the cash pressure here will decline in the next, let's say, 2 to 3 years compared to what we have just, let's say, 1 year ago. This is first. Secondly, on the earnings side, we think that we should go below 6x. But this is a process. The results that we're showing today, they did not occur because we started working in January. In fact, we started working back in 2012, so we think that if we keep the commitment and if we keep the strategy that's brought us here so far, when do we get to the midst of 2014, we'll be able to show leverage ratios very good for an airline that is close to 4x. It's just a question of time and being committed to the strategy that, again, that brought us here.
Operator: Our next question comes from Mr. Stephen Trent with Citi.
Stephen Trent - Citigroup Inc, Research Division: 2 for me, if I may. And the first one is if you could kind of broadly paint for us your vision of the operations in the Dominican Republic? Are you going to continue targeting kind of high-density routes mostly to the U.S. or expand to other countries? And will these operations have -- eventually have a reciprocity with Delta Airlines?
Paulo Sérgio Kakinoff: It's Paulo Kakinoff. Actually, part of our internationalization strategy, as we [indiscernible] we have turnover coming from international markets. It's our intention to include it up to 15%, 16% in the long term. To do so, we are expanding in our network through a very [indiscernible] when we are adding to the current international network, new market, those could be operated with a forward standard grade of 737-800. So a very good example coming out of the flattish [ph] and new daily flights from São Paulo, [indiscernible] Orlando and Miami. We have started the flights last December and, at the moment, we are operating the São Paulo flights with full capacity, and the Rio de Janeiro scenario at the level of 85%, just after 5 months from the beginning of these operations. It means that there is a huge potential, that results are encouraging us to further develop the international, to work our revenue from the second semester this year on. It means that the Latino and Central American, Caribbean markets and North America, they are supposed to start reroutes in the second semester, falling into many of our long-term strategy of including international routes. The Dominican Republic plays a very significant role in that strategy. As you already know, it's our intention that you -- to build help in that location and to do that, we have viewed [ph], we have the local governments in order to acquire the right conditions, if I may say so, the right conditions, to be successful in that sense. And fortunately, I can give you a very positive feedback coming out of the relation once we have already presented to the Dominican Republic government our expansion plan, which has been very positively received and welcome by them.
Stephen Trent - Citigroup Inc, Research Division: Okay. Great. And just one other question. We saw that the Federal District of Brasilia recently cut taxation on jet fuel. Aside from the state of São Paulo, kind of where are the other big places where you could see some potential jet fuel tax relief, even if you don't expect anything to happen over the near term.
Paulo Sérgio Kakinoff: We're not considering that to happen because it couldn't -- you know coal markets [indiscernible] that subject is the first priority of ABEAR, our airline association. We are succeeding once we have already the key -- tax reduction price in Brasilia. And also, some of the raised tax reduction -- actually, last year was another very important outcome for the ABEAR's job. So we are not considering that in our forecast, but we have -- we are working hard together with the other airlines to achieve new goals that matter.
Operator: [Operator Instructions] Our next question comes from Mrs. Savi Syth with Raymond James.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: How are the revenue trends now going forward, given that we're now in the seasonally slow period? Are they still showing the strong yields growth?
Paulo Sérgio Kakinoff: We are more confident on yields than total revenue. If I'm making myself clear, the low season, as you have mentioned, that we are going through that period with the same strategy that has been quite successful, implemented by us, it means that we are adjusting our offer in order to defend the 3-digit price growth, even through this very challenging period in the second quarter of 2013. So we believe in single digit growth for this period, but keeping our full year forecast already out there.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Understood. And did you benefit from the Easter shift into the first quarter at all? Or did the Easter timing not have an impact on the first quarter versus second quarter?
Edmar Prado Lopes: Savi, this is Edmar here. Margin additions were up. It doesn't make additions. Remember that we are facing low season here in Brazil. We had seen some movements, some aggressive movements on the pricing side from the competition. And as I mentioned before, we are, let's say, waiting for the Brazilian GDP to pick up. And at this moment, it's very hard to believe that we will reach the 2% growth that everyone thought was possible just a few weeks ago, okay? We are, let's say, standing still to see what happens in the next, let's say, a few weeks or a couple of months.
Operator: This concludes today's question-and-answer session. I would like to invite Mr. Paulo Kakinoff to proceed with his closing statements. Please go ahead, sir.
Paulo Sérgio Kakinoff: I just would like to thank you all. Remember that we are available to answer any kind of further requests, okay? Thank you very much. Have a nice day.